Brittany Elsasser: Thank you and welcome to the Meta Financial Group conference call and webcast where President and CEO, Brad Hanson and Executive Vice President and CFO, Glen Herrick will discuss the results of our first fiscal quarter ended December 31, 2020. Also participating in the call is Brett Pharr, Co-President and COO of MetaBank. Additional information, including the earnings release and investor presentation maybe found on our website at metafinancialgroup.com. As a reminder, our comments may include forward-looking statements. Those statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to update any forward-looking statements. Please refer to the cautionary language in the earnings release, investor presentation and in Meta’s filings with the Securities and Exchange Commission, including our most recent filings for additional information, covering factors that could cause actual results to differ materially from the forward-looking statements. Additionally, today we will be discussing certain non-GAAP financial measures on this conference call. References to non-GAAP measures are only provided to assist you in understanding Meta’s results and performance trends. Reconciliations for such non-GAAP measures are included within the appendix of the investor presentation. Now, I will turn the call over to Brad Hanson.
Brad Hanson: Thank you all for joining Meta Financial’s first fiscal quarter year 2021 earnings call. It’s my pleasure to discuss our strong results achieved in the first fiscal quarter. I want to start by acknowledging our excellent team and thank our employees for generating these results while dealing with the challenges of the pandemic and serving our customers remotely. Compared to the same quarter last year, revenue was up 9% to $111 million, net income was up 33% to $28 million, and earnings per share was up 50% to $0.84 per share. Our focus on improving our efficiency ratio resulted in improvement of 6 percentage points to 62.2% over last year, which was achieved without any COVID related layoffs or salary reductions. Our loan portfolios continue to perform well. Non-performing loans and leases as a percentage of loans and leases for commercial finance were 86 basis points, the lowest level in over a year and a half. As Brett will discuss, we remain focused on the hospitality and movie theater loans in our legacy Community Bank portfolio as well as our small ticket leasing and finance relationships in our commercial finance division and we stay in regular contact with those borrowers. Due to our conservative approach to wrapping up provision during the early days of the pandemic, we believe that current reserves are adequate to withstand projected losses in the existing portfolio. The effects of government stimulus programs have had a significant impact on our balance sheet. These programs included the Paycheck Protection Program loans, economic impact payments, or EIP, and enhanced unemployment benefits that flow through to existing card programs. Total average payments divisions deposits, including stimulus funds associated with EIP programs, were up 83% year-over-year. While it’s not possible to determine the exact amount of the deposit growth associated with government stimulus programs, our analysis of our deposit base, including several large programs that we moved over from other banks during the year lead us to believe a more realistic run-rate would be somewhere in the mid-teens excluding any stimulus related impact. Card and deposit fee income for our payments division is up 5% over the first fiscal quarter of last year to $22.6 million. This was quite an accomplishment given the lower card volumes, especially in our loyalty awards and promotions or rebate card area and our gift card promotions for programs that were caused by COVID related shutdowns during the latter half of the fiscal year. Some of this volume, especially in gift cards rebounded nicely in the fiscal first quarter of 2021. In addition, fee income was negatively impacted from the previous year by the closure of two program managers who are forced to cease operations due to the pandemic. Fortunately increased activity and other card programs and our new transaction related payments initiatives like faster payments and acquiring more than made up for these reductions. Overall, fee income plays an important role in our financial performance, accounting for 49% of total revenue for the last 12 months. We expect our fee income related programs to be an even bigger part of our story going forward. As previously mentioned MetaBank is a financial agent of the U.S. Department of the Treasury’s Bureau of the Fiscal Service and was tasked with issuing prepaid debit cards for disbursement of economic impact payments to consumers under the CARES Act during fiscal year 2020. We recently reported that we were again tasked to distribute prepaid debit cards to individuals as part of the second round of the EIP program. To accommodate this program, we have partnered with Fiserv and Visa to distribute approximately 11.6 million cards totaling $13.5 billion in stimulus funds for the two programs combined. Obviously, a program of this size has significant impact on our balance sheet and performance metrics. For example, our capital leverage ratio, net interest margin and return on assets will be skewed much lower since the associated deposits are held in cash. Risk-based capital ratios remain largely unchanged and we should see a slightly positive impact on earnings overall. Additionally, we are working closely with our regulators, the OCC and the Federal Reserve. The OCC has granted us an exemption from meeting capital leverage ratios due to the significant, but temporary increase in deposits associated with the EIP program. We remain in good standing with regulatory agencies will not be deemed undercapitalized and will not be under any regulatory restrictions due to our participation in this program. Now, I would like to spend a few minutes to talk about our mission and some of the important enhancements we made to our environmental, social and governance programs during the quarter. Our long-term mission is providing financial inclusion for all. Meta is a financial enablement company that works with FinTech and Finserv innovators to increase financial availability, choice and opportunity for all. Banking as a service has always been a core feature of our business model. And I like to say that we offered banking as a service since before it was cool. Our national bank charter coordination with regulators and deep understanding of risk mitigation and compliance allows us to guide and support our partners to deliver financial products to those who need the most and contribute to the social benefit of communities we serve. MetaBank is the fiduciary who issues the accounts, holds the funds and manages the money, moving billions of dollars each day. Our years of experience and proprietary techniques for actively monitoring collateral and mitigating risk allows us to enter markets and serve customers that traditional financial institutions often shy away from. We go where others won’t, because we are willing to do the hard work that others don’t. Our mission and ESG efforts are strongly aligned with them and embedded in our strategy, so that our priorities stay fixed on helping our communities to move towards prosperity and success. ESG along with diversity, equity and inclusion are critical to the long-term success of our company and our commitment to them is reflected in our hiring of a Vice President of ESG and Community Impact who is responsible for advancing and sustaining a measurable ESG strategy and community outreach effort. This amid initiative will be overseen by a newly formed ESG committee of our Board of Directors. MetaBank is committed to expanding who and how the financial industry helps and we strongly believe that financial enablement and economic mobility are fundamental to our cause. These key ESG enhancements are meant to ensure that we stay true to our mission, helping those at the heart of the real economy by providing pathways towards prosperity and success as we endeavor to bring financial inclusion to all. Now, let me turn the call over to Brett to provide some updates on our lines of business.
Brett Pharr: Thank you, Brad. Today, I will share some updates on a few of our business lines not yet covered, starting with commercial finance. At December 31, commercial finance loans made up 70% of the company’s gross loan and lease portfolio and totaled $2.42 billion, a 5% increase from the linked quarter. We saw solid growth in term lending primarily related to our solar lending business and strong asset based lending originations. During the quarter, our solar credits balance increased 29% from last quarter to $323.9 million. While we have a strong pipeline, we expect that we could see a slowdown in asset-based lending and factoring as a result of the second round of PPP loans reducing temporary demand for funding. From a credit perspective, we continue to closely monitor each of our lending portfolios, paying significant attention to our legacy Community Bank hospitality and movie theater loans as well as our small ticket equipment finance relationships in the Crestmark division. Our credit management team has remained in regular contact with these borrowers and we feel comfortable with the level of reserves and collateral in place on these credits. Our legacy Community Bank portfolio balances continued to decline as the portfolio winds down. The portfolio is performing well and we have not experienced any further deterioration as such. We believe our credit metrics demonstrate the company’s ability to weather the worst of the pandemic. Movie theater and hospitality loans in our legacy Community Bank portfolio continued to account for most of our total deferral balances. Our current level of reserves reflects the elevated level of risk in these portfolios. But we are pleased that we are starting to see some positive developments in these relationships. For example, most of the hospitality loans that were on deferral are now back to making P&I payments. In our consumer lending portfolios, credit remains strong and we have seen no measurable change in performance due to COVID-19. This reinforces the strength of our program structuring and guardrails in place. Non-performing assets increased slightly during the quarter, primarily related to an increase in legacy community banking non-performing loans. The increase in non-accrual balances was driven by One Community Bank relationship operating in the movie theater industry that mirrors a non-accrual status in the fiscal 2021 first quarter. As a reminder, this relationship is roughly 50% reserved for. We believe this to be isolated and not a representation of our overall loan and lease portfolio. Finally, I would like to highlight our MoneyLion relationship, as it is a great example of banking as a service and how we are leveraging our balance sheet to create relationships that advance our capabilities and create future revenue generating opportunities. Through our venture capital arm Meta Ventures, we were a strategic investor in MoneyLion before we helped our checking account product called RoarMoney. Meta Ventures is focused on investing in early stage companies that are on the cutting edge of payments and likely to be future users of our platform. By investing in and partnering with fin-techs like MoneyLion, we continue to stay on the forefront of payments industry innovation. Now, I would like to turn it over to Glen Herrick.
Glen Herrick: Thank you, Brad and good afternoon everyone. Total revenue for the fiscal 2021 first quarter was $111 million, an increase of 9% compared to the same quarter last year. The increase in revenue benefited from the previously disclosed $5 million loss from the sale of foreclosed property during the last year’s first fiscal quarter related to a legacy Community Bank agricultural relationship. Revenue also benefited from the receipt of $3.5 million from a portion of the company’s liquidation insurance claims of unearned premiums on the ReliaMax estate related to our student loan portfolio. In June 2018, we announced that we have received written notification of the ReliaMax’s solvency and that we expect it to recover a portion of the unearned premiums. We generated net interest income of $66 million, an increase of 2% for the first fiscal quarter of 2021 compared to the same quarter of fiscal 2020. Net interest income benefited from a reduction in total interest expense related to lower deposit and funding costs. Cost of funds for the first quarter of 2021 averaged just 15 basis points. Fee income represented 49% of total revenue for the 12 months ended December 31, an improvement from 45% for the prior year 12-month period. We continue to see a robust pipeline of fee income opportunities within our payments division and our expanding banking as a service capabilities. We expect fee income to continue to be a greater percentage of revenue over time. Non-interest expense was $72.6 million for the first fiscal quarter of 2021, a decrease of 4% compared to the prior year. We remain disciplined on expense management as is evidenced by our efficiency ratio of 62.2% for the last 12 months ended December 31, an improvement of over 600 basis points compared to the prior year. We continue to focus on achieving our key long-term efficiency goals by driving optimization and utilization of existing business platforms and leveraging technology to help drive future efficiencies. Overall, net income for the quarter was $28 million, or $0.84 per share, an increase of 33% and 50% respectively compared to last year’s first quarter. Total assets at December 31 were $7.26 billion, an increase of 18% year-over-year and 19% compared to the linked quarter. The increase is due to the higher level of cash on the balance sheet related to a seasonal increase in deposits as well as unspent funds from the first and second round of economic impact payments. Deposits in the first quarter also benefited from the $150 million in deposits from the Emerald Prepaid MasterCard program, which will move to MetaBank as a component of the broader H&R Block relationship that began in the first court. As Brad mentioned, we reflected again to disburse a portion of the EIP payments to eligible recipients via bank issued prepaid debit cards as part of the second round of stimulus, with initial payments having begun in early January. While the EIP program is anticipated to have a slightly positive impact on earnings, the balance sheet impact will be significant due to the large amount of cash on deposit balances during our fiscal second quarter, resulting in a significant, but temporary reduction of net interest income, return on average assets and the company’s leveraged capital ratios until funds are spent by consumers. We do not expect these conditions will be sustained long-term and do not expect any material impact on our risk-based capital ratios. As a result of participating in this program, we expect to remain in good standing with regulatory agencies and will not be deemed as undercapitalized and will not be under any regulatory restrictions. As you may recall, we have reinstated our share repurchase program last quarter. During the quarter, we repurchased just over 1.8 million shares at an average price of $29.46. Since quarter end through January 20, we purchased an additional 300,000 shares. Under our authorized share repurchase program, which is scheduled to expire on December 31, 2022, we have approximately 2 million shares remaining. We will continue to consider further share repurchase activity within the context of our overall capital deployment strategies, including funding growth initiatives and returning excess capital to shareholders. Finally, we adopted CECL effective October 1, 2020 and its day one entry to increase the allowance for credit losses was $12.8 million in line with the expectations. Allowance for credit losses was $72.4 million at December 31. The increase in the allowance when compared to linked quarter was largely due to the adoption of the CECL accounting standard. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Steve Moss with B. Riley Securities.
Steve Moss: Good afternoon. Just was stopping on the low yields here, pretty stable yields for your commercial finance business kind of curious how the pricing environment is there and just the activity you are seeing?
Brad Hanson: Yes, this is Brad. I will jump in here. Obviously, rates are moving down and our assets have a fairly short duration. So we are feeling some price pressure, but remember the kind of assets that we go after tend to have a higher yield. So yes, there is some price pressure, there is lot of liquidity in the market. We are not chasing a down market, but we are still holding our own pretty well.
Steve Moss: Okay. And then with regard to expenses for your coming quarter, obviously, big quarter for tax just kind of curious as to how we think about total expenses in the upcoming quarter?
Glen Herrick: Hey, Steve, this is Glen. Yes, as always, our fiscal second quarter, the March quarter is our highest expenses. A lot of those expenses are above our run-rate are variable in nature. So it depends on the volume of tax season as well. But so they could go to $95 million, $100 million, but where it settles in that, will also correlate with revenues.
Steve Moss: Okay. That’s helpful. And just one last question for me here on fee income, you guys talked about it becoming a greater percentage of revenue as the year goes on. Just wondering if you could expand on that and how you are thinking about that percentage growing throughout the year?
Glen Herrick: Well, we have announced several times about our faster payments initiatives and our acquiring business that we entered into during the last year, which is starting to ramp up as well. So, we have a number of those kinds of transaction related businesses that we have gotten into that will be ramping up over the next couple of years and that will be increasing our fee income. Now, if interest rates go up again and interest income goes up along with it, those ratios could be more or less depending on those factors, but if interest rates stay the same and our portfolio kind of hangs in where it is, then I think you will see an ever increasing percentage of fee income over time.
Steve Moss: Alright. Well, thank you very much for that good quarter.
Glen Herrick: You bet.
Brad Hanson: Thanks, Steve.
Operator: Thank you. Our next question comes from Michael Perito with KBW.
Michael Perito: Hi, good afternoon, guys. Thanks for taking my questions.
Brad Hanson: Hey, Mike.
Michael Perito: I had kind of a conceptual question, Brad you mentioned some of the ESG and financial inclusion themes that are kind of driving the Meta strategy and frankly happened for years. So I performed a lot in those processes and whatnot. But I guess as we think about the prepaid card business, it’s hard to not look at some of the other, if you put on the slide deck, the neobanks or digital challenger banks or things of that nature kind of going after the same part of the pie here. And I am curious if you have any kind of longer term views about the growth play and viability of the prepaid businesses, there is no digital disruption from banking alternative software. And I guess as we think about specifically to Meta, I mean, is it fair to think that with your representation on both sides that you don’t really expect much of an overall impact to kind of how your business grows or do you think there is room for growth rates to kind of shift as you know time evolves?
Brad Hanson: Well, the neobanks generally don’t have a banking charter and they partner with other banks in order to implement those programs. That’s really what we do is support those guys. Brett highlighted MoneyLion and the RoarMoney product, which is a checking account product. So, that’s an example of us facilitating those kinds of opportunities in addition to prepaid, so I don’t think we are just pigeonholed in prepaid first of all. Secondly, I think prepaid is a broad category. There are a lot of niche applications of prepaid. And if you think about the rebate cards, the loyalty and promotion cards, the gift cards, how it’s used for certain other categories, like FSA products and benefits and things like that there are lot of niche categories that will continue to grow in prepaid. And then finally, even at – within some of the prepaid reloadable categories, they are still very – operating very strong and we are seeing growth in a number of those programs, but also the payroll card programs, which are beneficial to employers. So, there are lots of opportunities within prepaid. There is lots of opportunity for us with the neobanks and the fin-techs that are out there for us to support their programs and partner with them. And I think the industry and the category is very broad, so have no concerns about competitive pressures at this time.
Michael Perito: That’s very helpful. And I think last I checked, there is maybe a couple dozen of banks that one way or another are kind of in this embedded finance or banking as a service arena. I mean, have you noticed any change in the competitive landscape as far as kind of the amount of other banks looking at deals you are looking at or has it been relatively steady for you guys and I know you have been doing it for a long time, but just curious if that competition has really noticeably changed at all over the last 12 to 24 months?
Brad Hanson: I am not seeing any competition noticeably change in the last 12 to 24 months. In fact, I have seen opportunities increasing in all categories.
Michael Perito: Great. I also wanted to talk about the capital I saw in the release that you guys are getting some temporary relief because of the EIP and the impact on capital. I was just curious if you could comment, if at all, if any, there is an impact on kind of your appetite near term for share repurchases? And is it fair to think that either way coming into tax season here, when the balance sheet is typically a bit more levered that buybacks are likely not going to be quite as robust near term, but longer term, we should still view them as a piece of your capital deployment strategy.
Brad Hanson: Glen, you want to take that?
Glen Herrick: Yes, again, we talked about keeping our balance sheet outside of the temporary EIP impact, keeping the balance sheet in that $6 billion, $6.5 billion range for quite some period of time. The returns we expect to generate, we are going to generate a lot of excess capital. And we will look at all those options certainly share repurchases will be a part of that.
Michael Perito: Okay. Excellent. Thank you, guys. I appreciate it.
Brad Hanson: Yes, thank you.
Glen Herrick: Thanks Mike.
Operator: [Operator Instructions] Our next question comes from the line of Frank Schiraldi with Piper Sandler.
Frank Schiraldi: Hi, guys. Good afternoon. I was wondering if you could give any color or thoughts on the tax season so far especially given just how unique the environment is and things like greater flexibility and earned income tax credit in terms of filers using either ‘19 or ‘20 income, I would imagine overall the increased payout and more potential for refund of that, any thoughts are there if you could also?
Brad Hanson: Brett, do you want to start with that?
Brett Pharr: Yes. So, we enter every tax season with a set of very experienced people. We are probably more prepared for this season than we ever have. And just as you go through it, it seems like every season has its unique attributes. So, I don’t know that we can predict in any way, but we are all prepared for it whatever it’s going to entail.
Frank Schiraldi: Okay. So no change to thinking on our previous guidance on expectations on that front at this point?
Brad Hanson: I think the industry overall actually thinks that there will be some delay just IRS, deferred, the start of the tax season and the processing. So I think we will see some delay, but I think the industry overall thinks it will be pretty consistent yet. Now, that’s to be seen, we won’t know until we get into the season and start to see how people are reacting to all these changes.
Frank Schiraldi: Thanks. And then I am wondering if you could just talk about the continued reduction in the community banking block and I would imagine the stuff that’s moved off the book has been maybe more risk categories that also the opportunity to maybe sell some stuff out in the higher risk categories given significant reserves you have taken against that?
Glen Herrick: Hey Frank, it’s Glen. I would necessarily classify it as lower risk. All the loans have been sold to central bank thus far or refied away. And so central banks were considered relationships that they want to prioritize long-term as they have capacity on their balance sheet. Now, clearly, they are being very cautious about the hospitality in the theater loans we have. But it’s not a – it will not necessarily be on that left with an adverse selection. And yes, that portfolio eventually gets to zero one way or the other, but right now, we feel good about the loans that we do have on our balance sheet and those that we are watching closely, we feel good about the reserve levels that we have against them.
Frank Schiraldi: Yes. And as far as I know, you talked about the specific reserve against this – the movie theater relationship that went into non-accrual. And I know you give the reserves to total community banking, but can you give the reserves against the movie theater and hotel book in total, I don’t know if I missed that in really?
Glen Herrick: Well, we, the theaters are reserved at approximately 50% and I don’t know, we haven’t provided the hospitality allowance.
Frank Schiraldi: Got it. Okay. And if I could just sneak in one final one in terms of the strength, the solar business, any expectation or changed expectation on the tax rate for the year?
Glen Herrick: Yes. If the solar pipeline is strong, we also worry about our taxable earnings pipeline is strong and so low double-digit tax rate is we are thinking today. As Brad mentioned, a lot of our annual results, including the amount of taxable income will depend on how well tax season goes.
Frank Schiraldi: Alright. Okay, thank you.
Glen Herrick: Thanks, Frank.
Operator: Thank you. Our next question comes from William Wallace with Raymond James.
William Wallace: Good evening. Thanks for taking my call. I was wondering if you could just kind of help us think about how you might think your reserve to loan ratio might move under CECL as the year progresses under the expectation that we start to get greater visibility into an economic recovery and not – we don’t start to turn the other way?
Brad Hanson: Sure. Yes, so we are assuming the economy improves or doesn’t get worse from here, plateaus and/or starts improving later in the year, then we would expect our loans to come down.
William Wallace: Okay.
Brad Hanson: Now, as a percentage of the qualitative allowance, as we re-shift our balance sheet, our earning assets into more loans and hear our securities, the absolute allowance will depend on the mix of loans versus securities. But on a qualitative basis, we would expect a further improved economy and/or past the health crisis by the end of the year, we would expect lower allowance ratios?
William Wallace: Okay, alright. Thank you. If I looked at some of the niche commercial lending businesses, a couple of them have seen some nice bounce back in growth here in the last quarter or two. Wondering if you can talk a little bit about what you are seeing in the commercial lending business and what your expectations for growth might be at this point?
Brett Pharr: Yes, right. So we kind of talked about this before during the time of economic stress. Some of the commercial borrowers are either run out of or have too much trouble with their traditional lenders and they moved to more of the working capital line arrangement. So we have been the beneficiary of some growth in some nice transactions in asset-based lending and factoring that has come back. Also, I mean, if you just kind of look at the pure numbers, when COVID hit and also with the PPP payments that occurred for our clients, many of the same client borrowings dropped earlier. So, some of that has come back quite a bit. So, that’s really where you are seeing some good growth in those arenas. And we would expect that as we as we look forward and as I mentioned in my comments, depending on how many of our clients get the second round of PPP loans, we may see some softness there for a short period of time. But as you know, the economy comes back and we have a pretty good pipeline, we should be able to build those asset classes more.
William Wallace: Okay, alright. Thanks. And that’s actually a good segue to another question I had, which was regarding the second round of PPP with the portal now open. Just about a week, where are you in application so far and maybe what are your expectations for what the value might end up just go around?
Brett Pharr: Yes. Team has to help me if we would actually disclose anything. But what I would tell you is that there are some tests to get into the second round the most material of which is a 25% drop in revenue over linked quarter. And many of our clients are not able to meet that test. So, that’s sort of good news, bad news. But I would say that at this point the volume would be off from what it was the first round.
William Wallace: Okay. Not willing to maybe quantify that. It seems like from a lot of the banks that have been reporting some have suggested maybe as much as 50% but others have thought that it could come in closer to 20% 30%. Do you have a sense to maybe within that range or it’s not?
Brett Pharr: I would say that 50% is a directionally correct number to kind of work with.
William Wallace: Okay, okay. Thanks. And then just a housekeeping question as it relates to PPP, can you give us the net interest income impact or the net interest margin impact from the program in the first quarter?
Glen Herrick: It’s just a couple of basis points from PPP. It’s really our impact on net interest margin is far outweighed by the impacts of these EIP deposits.
William Wallace: Yes, yes. And so that’s actually that I’m looking at my model and thinking that trying to forecast that net interest margin might be a meaningless exercise with all of the noise. Maybe...
Glen Herrick: It’s going. Yes, NIM is going to be noisy throughout the rest of 2021. And so a cleaner ways just probably to start with the loan balances and where those go and the securities balances and build from there we’re going to hold a big chunk of the EIP direct stimulus in cash. So that’s going to be sitting there just earning ten basis points.
William Wallace: And I am wondering now the rate of decline in the first round of EIP has slowed pretty dramatically here in the last, it looks like 3 to 6 months. And what’s the decision matrix as to whether or not it makes sense to take some of that cash and move it into the bond portfolio maybe later it or keep it all short and pick up a few extra dollars in net interest income if you have to keep it how are you thinking about that?
Glen Herrick: Yes, a number of factors in there, Wally. So, a lot of the lot of deposits that you see hanging around from the first stimulus last spring, are still cards that have been un-activated. And so we continue discussions with our partners on that program. And when the plan was rushed out I don’t think Congress ever anticipated that folks wouldn’t actually take the money and use it. So, those discussions continue and as well as some of our regulatory waivers on leverage ratios call for us to keep that in cash which is why our risk-based ratios aren’t moving. So, that said we do have excess liquidity. We are looking at options in securities and other ways to use that powder. That being said we also don’t want to lock in too much interest rate risk but we will deploy some of it.
William Wallace: Okay.
Brad Hanson: And I would just state that the un-activated cards are still activating from last May’s release of cards. So we are still seeing some activations on a daily basis albeit small and at some point if that slows down or stops altogether one of the considerations is that money if it never does get accepted we don’t get it. We have to give it back to the government. So, we don’t want to tie that up too long-term.
William Wallace: Understood. Yes, thank you. That’s all I have. I appreciate your time. Thank you.
Operator: Thank you. And that concludes the Meta Financial Group first quarter fiscal year 2021 investor conference call. Thank you.